Operator: Ladies and gentlemen, thank you for standing by. Hello. My name is Dustin, and I will be your conference operator today. At this time, I would like to welcome you to Third quarter 2025 Pediatrix Medical Group, Inc. Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to our Chief Administrative Officer, Mary Ann Moore. Please go ahead.
Mary Ann Moore: Thank you, operator, and good morning. Certain statements and information during this call may be deemed to be forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on assumptions and assessments made by pediatrics management in light of their experience and assessment of historical trends, current conditions, expected future developments and other factors they believe to be appropriate. Any forward-looking statements made during this call are made as of today, and Pediatrix undertakes no duty to update or revise any such statements, whether as a result of new information, future events or otherwise. Important factors that could cause actual results developments and business decisions to differ materially from forward-looking statements are described in the company's filings with the SEC, including the sections entitled Risk Factors. In today's remarks by management, we will be discussing non-GAAP financial metrics. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in this morning's earnings press release, our quarterly and annual reports and on our website at www.pediatrix.com. With that, I will turn the call over to Mark Ordan, our Chief Executive Officer.
Mark Ordan: Thank you, Mary Ann, and good morning, everyone. Also with me today is Kasandra Rossi, our Chief Financial Officer, who is recovering from the flu. We didn't forecast that. Our third quarter results, including adjusted EBITDA of $87 million exceeded our expectations, a confluence of positive outcomes in pricing, collections and expense controls together led to another very strong quarter. 2025 year-to-date results have been strong, and we see no reason to expect a shift from normal seasonality in the fourth quarter. Because of practice bonus variability, our outlook for the full year's adjusted EBITDA is a wider-than-usual range at $270 million to $290 million. Note that we also disclosed in our Q filing that we bought back 1.2 million shares in the quarter. To date, that number is now 1.7 million shares. After Kasandra, I will speak about the big picture about where Pediatrix is today and where we are heading.
Kasandra Rossi: Thanks, Mark, and good morning, everyone. This is definitely not my real voice, so please forgive me. Our consolidated revenue decrease was driven by our portfolio restructuring activity of just under $54 million. This decrease was partially offset by strong same-unit growth of 8% and with same unit pricing up about 7.5% and patient service volumes up just under 40 basis points. Pricing was driven by solid RCM cash collections, increased patient acuity and neonatology, an increase in contract administrative fees and favorable payer mix. While volumes reflected modest growth in neonatology, where NICU days were up by 2%. Practice-level SW&B expenses declined year-over-year, also reflecting our portfolio restructuring activity. On a same-unit basis, we saw increases in salary expense, incentive compensation based on practice results and benefits expense. Salary growth for the third quarter was modestly below the ranges that we have seen for the prior 5 quarters that averaged 3% to 3.5%. Our G&A expense increased slightly year-over-year, driven by an increase in incentive compensation expense based on overall company financial results. Other nonoperating income included a net gain on investments in divested businesses of $21 million, with the remaining net increase driven by higher interest income on cash balances and a decrease in interest expense on modestly lower average borrowings at slightly lower rates. Moving to cash flow. We generated $138 million in operating cash flow in the third quarter compared to $96 million in the prior year, driven by higher earnings and increases in cash flow from AR. We also used $21 million of cash during the quarter for share repurchases and used $19 million to acquire several neonatology, MFM and OB hospitalist practices in a single transaction. We ended the quarter with cash of $340 million and net debt of just over $260 million. This reflects net leverage of just under 1x using the midpoint of our updated adjusted EBITDA outlook range for 2025. Our AR DSO at September 30 of 43.1 days were down over 3 days from June 30, but were down almost 9 days year-over-year, driven by improved cash collections at our existing units.
Mark Ordan: Thanks, Kasandra. I think that when we release stronger-than-expected results, people go straight to the components of those results and miss the core of who Pediatrix really is. Yes, we employ clinicians and hospitals in an ambulatory setting. And yes, there were strong components of our results that are out of our control, but that fact is hardly unique to us. Let me tell you the combination of some factors that do make us quite unique. At our recent medical directors meeting, we assembled over 250 practice medical directors, OB hospitalists, pediatric intensive care physicians, maternal fetal medicine physicians and the neonatologist. Nobody else could assemble a group of clinicians -- of clinician leaders like we can. This is the nation's largest assembly of practices in these most critical areas. Presenting to the group were our research clinicians who, in addition to their practice work produce more research on neonatology than any other organization, including academic medical sectors. Let me give you some details. Our market-leading position. We have massive clinical scale. Our research activity is supported by our substantial neonatology clinical footprint of over 1,300 physicians and 1,170 advanced practice providers, serving patients in 322 locations across 33 states. We maintain the industry's most detailed comprehensive clinical data warehouse with 37 million patient days and 2 million NICU admissions. We drive industry standards. Our research productivity is evidenced by 1,395 peer-reviewed publications authored by our clinicians and researchers, including 62 publications in 2024. Our active research spans 39 sites conducting 72 clinical research studies. The portfolio is diversified across funding sources, including 16 federally funded studies, 19 industry-sponsored pharmaceutical studies and 7 foundation and international collaborations. As of October 31, we maintained 130 active research applications. We strongly believe that this commitment to research drives higher quality and safety, innovative and branding. Our results are also driven by our commitment to technology, and we view ourselves as the innovative technology leader in neonatology. As many of you know, we have a proprietary Pediatrix developed system called BabySteps to support clinicians as they care from for mothers and the frailest of babies. Let me elaborate. It was designed and curated by our physicians and developed by our technology team to address the needs of the highest-risk NICU patients. It specifically addresses the following: supports clinical decision-making, increases efficiency and accuracy and documentation, provides risk mitigation, including med mal and increases clinician well-being via reduced documentation and cognitive burden. It is constantly updated and evolving based on our quality and research team input. Let me give you a specific example, hypoxic ischemic encephalopathy. HIE is a condition and it may occur when a newborn baby's brain does not receive enough oxygen and blood flow with a high mortality rate in severe cases. BabySteps programming prompts timely specific intervention to assist our physicians in diagnosis and care, improving clinical outcomes. After surveying alternatives, we believe BabySteps is a clear differentiator for us and has no peer in the industry, and we are confident that our hospital partners view that as one of our many strengths. Going forward, we plan to increase our prioritization of enhanced technological support. Our clinicians don't just work in hospitals. They and we as an organization, are true partners to these hospitals. We don't just put up a sign to attract this very rare group of clinicians for our hospital partners. We have the largest and I believe, the strongest recruiting team in these areas, ensuring we welcome the finest clinicians in our critical fields. Our results include an increase in acuity. Why? Because we lead more Level 3 and Level 4 NICUs than anyone else and with the support of our research and quality teams and many others of pediatrics, we provide more support in these fields than anybody else possibly could. This all results in miracles. I speak with and spend a great deal of time with our clinicians, and it is not at all uncommon for me to hear about 22-week-old babies being discharged home. Stop and think about what that means to have an organization that is at the forefront of such amazing care to the frailest patients anywhere and likely does this more than anyone else. Our strong results to a great degree results from our focus on 4 areas of concentration. And while we restructured our portfolio to further that focus, we continue to build strength around the country in pediatric surgery, neurology, cardiac intensive care and other highly specialized areas. All of what I've described is to further our reputation as a leader in this immensely critical and vital field so that hospital systems know they could not internally do what we can do with that partner. I spoke in May about a portfolio of NICU, MFM and OBH operations we were planning to add. Very happy to report that we did this on schedule and quite successfully welcoming great clinicians and providing a significant hospital partner with the support they needed. We expect to see more of this going forward. And even on our personal note, many of my administrator colleagues are clinicians or former clinicians and many of us are not, but I will assure you that what unites us is an unwavering dedication to the support of our clinicians so that by extension, we live up to our simple charge, take care of the patients. We have a lot happening here, and I'm grateful to and proud of the work that my colleagues are doing. I will end by returning to our results and outlook. While we have had a combination of positive factors to propel our strong results, we don't view it as a being at a peak. While we are certainly in the midst of significant health care headwinds, we all know that, we still see many opportunities to strengthen our operations and our results, and we are working hard to enable a very strong future. Operator, let's now open the call for questions.
Operator: Our first question comes from the line of A.J. Rice from UBS.
Albert Rice: First, obviously, you're sitting on a large cash balance. Your leverage is about as low as we've seen it. Any updated thoughts on capital deployment? I know you've been fairly cautious up to this point. Any thoughts about being more aggressive on the share repurchase? Or is there other development or acquisition opportunities that are interesting?
Mark Ordan: Well, a few things. One, as we said, A.J. we have fairly aggressively been buying back shares, and we're very pleased that, that's come at the same time as the results that we've been posting. We are looking at many different opportunities, both inside and possibly outside the company, nothing to detail at this moment. We announced at our last call that we had welcomed a colleague, a long-time colleague of mine, Greg Neeb, who is working with me at looking at ways that we can really expand what we do, both internally and possibly externally. As you know and anybody who's been listening to these calls, we do favor low debt, especially at a time when we have the kind of headwinds that we have. So we'll continue to be cautious, and we look forward to reporting other opportunities as we move forward.
Albert Rice: Okay. Maybe one other follow-up. Obviously, the restructuring of the portfolio has been a great success in terms of improving the operating performance of the company. I wonder -- we haven't asked you a while. Has it changed the dynamics of the company in the marketplace as you talk to new practices about potentially joining with you? Does it give them pause that you did the restructuring? Or has it changed the competitive landscape in any ways?
Mark Ordan: No, I think actually, on the contrary, I think that both new practices, people -- practices that we've welcomed in, as I mentioned before, and our existing practices see, if anything, just an obvious increase in concentration of our efforts because we have, in that sense, a smaller footprint. So our team is so focused on working with our hospital partners and working with our clinicians that I think it creates a much better environment than we had before. Also think about our recruiting efforts and our recruiting team, we're able to really focus on our areas of need, and that makes them also much more effective. I think in every way, while we obviously would -- it's always sad to say goodbye to terrific clinicians, we felt that this concentration makes us stronger in just about every regard. And as I mentioned, we still have very important areas in some of these subspecialties. And if a hospital system needs that kind of support, we'll work with them to figure out how to provide it. Our recruiting team can help us, can also help our hospital system partners.
Operator: [Operator Instructions] Our next question comes from the line of Pito Chickering from Deutsche Bank.
Kieran Ryan: You've got Kieran Ryan on for Pito this morning. So I wanted to start and see if you can maybe break out the different buckets of the strong pricing in the quarter. It sounds like it's a lot of the same stuff you saw in 2Q around collections acuity, admin fees and some payer mix. So any color you can provide on how that kind of split out in 3Q and your thoughts on the durability and how those factors look as we go into next year?
Kasandra Rossi: Sure. This is Kasandra. So on the price -- on the strong pricing, over 1/3 of that was from strong RCM collections activity. And we did see some of the factors we saw in the prior quarters on acuity. Acuity made up about 20% of that pricing increase. And we have also continued to see some contract administrative fees from our hospitals increasing by about 10%. Payer mix, which had really been stable really last quarter from the increases or the favorability we saw in 2024. We actually did see a bit more favorability on that in the quarter of about 10%. So that really is the bulk of what made up a really strong pricing quarter. And as you know, many of these things are variable. So we would anticipate, like we had mentioned, payer mix continuing to be a bit stable. I think acuity has been strong in the last few quarters, but that, again, is also variable. And we've made it very clear that on the contract admin fees, it's tough to get some increases. We have had some success, but we don't see that becoming any easier with some of the pressures that hospitals are facing. And for the collections, I think I see 2025 as a reset year. Obviously, we've been talking a lot about our transition, and that has gone extremely well. And I think we are at a place where we have hit our stride there.
Kieran Ryan: That's helpful. And then I guess just going back to the guidance. I appreciate the commentary on the spread and the seasonality. I was wondering if you could kind of maybe just parse that out a little bit -- a little bit more on the seasonality as well as any other factors that you'd note between the high end and the low end, particularly maybe on volumes because I mean you may have a pretty big office space comp this quarter.
Mark Ordan: There's nothing on volumes. We're working on several things in the fourth quarter as the company normally does towards the end of the year, and that could create some variability there. We'll report back later if -- of course, if anything materializes from that. But that's the reason to have a slightly wider than normal, nothing else.
Operator: And our next question comes from the line of Jack Slevin from Jefferies.
Jack Slevin: Congrats on the really awesome quarter. Mark, I just want to dig in a little bit on some of your comments about the longer term and sort of where you can drive things. Just wondering if you can unpack those a little bit? And then maybe more specifically, as we think about a key topic for some investors has been these enhanced subsidies on the exchange plans and what that might mean for your business, not asking necessarily for you to comment on what seems to still be a period of uncertainty in Washington, but more just wanted to hear if you've had any conversations maybe on the OB side or things that you're hearing in MFN that might sort of give a lead on sort of where expecting mothers could be leading, even if they're facing premium step-ups next year, if it's something that they might be looking to sort of retain coverage on?
Mark Ordan: Well, look, we've commented on it last time and I continue -- we certainly hope that the exchange credits continue. They seem to be beneficial. We're not able to pinpoint the effect that, that's had on us, but we think it's -- obviously, it's a positive for us. So again, we're hopeful. We haven't seen any change. I think the world is waiting to see what happens there. In terms of our outlook and our future, we -- I know it sounds boring. I think I used this word on our last call. We do believe that by being laser-focused on the needs of our hospital systems, that provides additional opportunities. I personally am involved with many discussions where people haven't had the results internally that they'd like to have and are looking for a partner that can specialize in these important areas. And I think at a time like this, our financial strength will inevitably provide additional opportunities. We are able to invest with hospital partners and do things that other people can't do. So that's where we see strong potential going forward. And at time like this, with the headwinds that we've seen and other companies were not financed the way we have been, there could be opportunities there as well. So we think we're in a good position that way.
Jack Slevin: Got it. Okay. That's really helpful. And then maybe one just piggybacking on A.J.'s question around the capital allocation. Would just love to hear sort of if you can go back over some of the details on the deal that you completed in the quarter and sort of how that's going to feather its way into the business and into the numbers? And then secondly, just thinking about what the environment looks like out there as far as deals at the hospitals, as we expect hospitals to have a couple of years of headwinds here. Are there any acceleration of conversations for some of those practices to sort of pull their way out of hospitals or for hospitals to look to monetize?
Mark Ordan: Well, no, there's no, I haven't -- we haven't seen a change in tone with hospitals trying to monetize that. We do see -- we're very fortunately partners with hospital systems that are actually strong in this environment and are growing in this environment, and we look for ways to grow with them. As far as the acquisition that we made, it wasn't material, so we didn't break out the details of it. We tend not to. We do -- we have acquisitions that take place over the years. The reason we highlighted it was that it was a hospital system that easily could have taken these units in-house and felt that we could do a better job. But -- and we think that, that's our calling part. So we are in the midst of and intend to continue to push for that to be very forward thinking with our hospital partners and say, hey, if you're growing, you need help, why would you possibly not work with us. And as I mentioned my pride and appreciation for my team, when they do, they realize that there's a group of people, a big group of people that are pulling 24/7 for them. And when I talk about our quality initiatives and our research initiatives, we bring those positives to our hospital system partners. They couldn't do this internally. So in an area when you think about the frailest patients of all the things that we do reduce risk. And if you're a hospital system, why wouldn't you want to be partners with a group that can reduce risk within your 4 walls. So we think that's a very compelling point. And by the way, it seems like a lot of them do, too.
Operator: There are no further questions. I will now pass the call back over to our CEO, Mark Ordan, for closing remarks.
Mark Ordan: Great. Well, thank you very much, everybody, for your support, and we look forward to updating you on our future progress. Have a great day.
Operator: The meeting has now concluded. Thank you all for joining. You may now disconnect.